Operator: Ladies and gentlemen, thank you for standing by, welcome to the Schlumberger Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Simon Farrant. Please go ahead.
Simon Farrant - Vice President-Investor Relations: Thank you. Welcome to the Schlumberger Limited Second Quarter 2016 Results Conference Call. Today's call is being hosted from London following the Schlumberger Limited board meeting. Joining us on the call are Paal Kibsgaard, Chairman and Chief Executive Officer; Simon Ayat, Chief Financial Officer; and Scott Rowe, President, Cameron Group. Scott will join the earnings call through the fourth quarter this year to provide an update on the Cameron Group business integration and synergies. Our prepared comments will be provided by Simon, Scott and Paal. Simon will first review the financial results, then Scott will provide the Cameron update, and Paal will discuss the operational and technical highlights. However, before we begin with the opening remarks, I'd like to remind the participants that some of the statements we'll be making today are forward-looking. These matters involves risks and uncertainties that could cause our results to differ materially from those projected in these statements. I therefore refer you to our latest 10-K filing and other SEC filings. Our comments today may also include non-GAAP financial measures. Additional details and reconciliations to the most directly comparable GAAP financial measures can be found in our second quarter press release, which is on our website. We welcome your questions after the prepared statements. Please make your questions concise and limit them to one related follow-up. I'll now turn the call over to Simon.
Simon Ayat - Chief Financial Officer & Executive Vice President: Thank you, Simon. Ladies and gentlemen, thank you for participating in this conference call. Second quarter earnings per share, excluding charges and credits, was $0.23. This represents decreases of $0.17 sequentially and $0.65 when compared to the same quarter last year. During the second quarter, we recorded $2.9 billion of pre-tax charges. This consisted of $1.9 billion of asset impairments, $646 million relating to workforce reductions, and $355 million of merger and integration charges associated with the acquisition of Cameron which closed on April 1, 2016. The asset impairments are a result of the challenging market condition that continued to deteriorate during the first half of 2016. These impairments will not result in any cash outflows. As we indicated last quarter, we continued to tailor our resources to activity levels, unfortunately, this resulted in additional workforce reductions. The $335 million of merger and integration charges consists of $150 million non-cash inventory-related purchase accounting item, with the balance relating to transaction costs as well as a dedicated integration team and other costs to achieve synergies. We will continue to incur merger and integration charges for the rest of 2016 and into 2017. Our second-quarter revenue was $7.2 billion. This included a full quarter of activity from Cameron which added $1.5 billion to our top line. Excluding the impact of Cameron, revenue decreased 14% sequentially reflecting continued activity declines, pricing pressure and a reduction of activity in Venezuela to better match cash collections. Pre-tax operating margins, including the effects of Cameron, decreased 404 basis points, sequentially, to 10.4%. Cameron was accretive to Schlumberger's pre-tax operating margin as well as earning per share and cash flow. Highlights by product group were as follows. Second quarter Reservoir Characterization revenue of $1.6 billion decreased 9% sequentially, while margin decreased 228 basis points to 16.7%. These decreases were largely driven by Wireline and Testing Services activity declines across all of the international areas, most notably in Latin America. Drilling Group revenue of $2 billion decreased 18% sequentially while margin declined 649 basis points. These decreases were primarily driven by significant rig count reductions and pricing pressure across all areas, the largest declines were experienced in Latin America and North America. Production Group revenue of $2.1 billion decreased 11% sequentially and margins fell by 459 basis points, primarily on lower pressure pumping activity and further pricing pressure in North America land. Latin America also saw significant activity declines. As previously mentioned, the Cameron Group contributed revenue of $1.5 billion while generating pre-tax operating margin of 15.8%. On a pro forma basis, this represents a 6% sequential revenue decline and 130 basis points margin improvement. The decrease in revenue was largely driven by a declining project backlog as well as the further slowdown in U.S. land that impacted the shorter cycle businesses. The margin improvement was driven by strong project execution, offset in part by the effects of the activity decline in U.S. land. Now turning to Schlumberger as a whole. Our corporate and other expense line has increased $69 million sequentially. This increase is driven by the $63 million of the quarterly amortization expense from the intangible assets recorded in connection with the Cameron purchase accounting. The Schlumberger effective tax rate, excluding charges and credits, was 16% in the second quarter essentially the same as Q1. As I highlighted last quarter with these reduced overall levels of pre-tax income that we are experiencing, relatively small changes in our tax line will have a disproportionate impact on our ETR potentially resulting in volatility going forward. Our tax rate will continue to be very sensitive to the overall geographic mix of earnings. We generated $1.6 billion of cash flow from operations. This is despite paying approximately $285 million in severance and $100 million in one-off transaction related fees during the quarter. Our net debt increased $3.4 billion during the quarter to $10 billion. This expected increase was driven by the $2.8 billion of cash we paid the Cameron shareholders and the $785 million of net debt we assumed in connection with the transaction. We ended the quarter with total cash and investment of $11.6 billion. During the quarter, we spent $31 million to repurchase 428,000 shares at an average price of $72.77. Other significant liquidity events during the quarter included approximately $450 million on CapEx, $130 million of SPM investments, $170 million of multiclient and $630 million of dividend payments. Our CapEx on a year-to-date basis was $1 billion, which includes one quarter of Cameron. CapEx for the second half of 2016 is expected to be approximately $1.2 billion. These amounts do not include investment in SPM or multiclient. And now I will turn the conference call over to Scott.
Robert Scott Rowe - President - Cameron Group, Schlumberger Limited: Thanks, Simon, and hello, everyone. This is the first earnings conference call that I have participated in since the announcement of Schlumberger and Cameron combination in August of last year. So I'm going to provide an update on Cameron's key developments in 2016 and provide you with some color on how the integration is progressing. The Cameron business has continued perform well in light of current market conditions. The margin progression journey that we started in 2014 has continued in our long cycle businesses with strong execution of our backlog in our Drilling, OneSubsea and Process Systems business units. We have continued to deliver our backlog while driving cost out of the system, generating enhanced margins through the cycle. For example, drilling margins were significantly accretive, and subsea margins were at the Cameron Group margin level. As you can imagine, our shorter cycle businesses, Surface and Valves & Measurement are being impacted by both volume and significant pricing pressure. Despite these pressures, both Valves & Measurement and Surface have positive operating income and are delivering solid cash flow. Overall, the Cameron Group was able to deliver healthy cash flow and operating margins of 15.8% in the quarter, which is nearly an all-time high for Cameron. However, the Cameron Group is not immune to the downturn, as you can see in our second quarter book to bill ratio of 0.68x. This will have a continued impact on revenue in 2017 as our longer cycle businesses continue to move downward and our backlog reduced to $3.7 billion in these businesses at the end of the quarter. Let's switch to our business unit level detail starting with OneSubsea. OneSubsea continues to build on the vision that we created when forming the venture in 2013. In fact, we've just been awarded Woodside's Greater Enfield development, which is truly the first award that brings together the full capabilities that OneSubsea has to offer. This will be booked in July. We have been working closely with Woodside since we were awarded their subsea frame agreement in 2014. Our success in the frame agreement evolved to an integrated FEED study which led to project award. In this project we used our integrated solutions expertise, including flow assurance capabilities, our systems engineering to best configure the seafloor architecture, our seafloor boosting capabilities, our standardized horizontal SpoolTree, and subsea landing string. We are very pleased to be working with Woodside and finding cost-effective solutions to move deepwater developments from concept to reality. With these engagements, the OneSubsea team continues to move up the learning curve on how to find deepwater solutions that are one, cost enabling; two, deliver more production at a higher recovery factor; three, bring projects to market significantly faster; and ultimately, improve the financial returns of deepwater developments. We are also working on the SPS and SURF interface where we believe there are cost and efficiency gains. We now have three paid FEED studies for our OneSubsea and Subsea 7 alliance, and we're working on another 20-plus engagements currently. Other recent activities include the six tree award for Pterobel's Zohr gas development in Egypt, which utilized a quick FEED approach and a supplier-led solution to meet a very aggressive timeline at a significantly reduced cost. Additionally, OneSubsea has successfully commissioned two boosting systems in the Gulf of Mexico. OneSubsea continues to have 100% of the working seafloor boosting systems in the world. Our leadership and history in boosting positions OneSubsea extremely well to capitalize on the smaller developments that tie back to existing infrastructure and whose facilities. Our unique offering of a single well-boosting system combined with a standard subsea tree works perfectly for this growing market. Each of the Cameron businesses are handling this cycle well in executing on our downturn playbook which focused on cost reduction, market share preservation and price optimization. As we move into Schlumberger, we are sharpening our focus on our service offering to capitalize on our large global installed base of equipment, and we continue to enhance our portfolio with a renewed commitment to technology. I can't tell you how proud I am of the Cameron employees as we continue to perform exceptionally well despite the industry's worst downturn and while executing a major corporate integration. Now, I'd like to turn to the integration of Cameron into Schlumberger. To start, I think it can be best summarized as a successful continuation of the collaboration and partnership that we started in OneSubsea. The Cameron and Schlumberger teams continue to work together in an impressive manner, and I'm happy to report that the progress in the first three months has exceeded all of our expectations. In the second quarter, we booked $125 million of synergy-related business, which was significantly ahead of our original plan. We are also on track to deliver the $300 million of synergies in the first 12 months from closing. We continue to find unexpected opportunities across all of the Cameron businesses, including Valves & Measurement and Processing, as we leverage the substantial capabilities of Schlumberger's vast geographic organization. Additionally, we continue to build on the concept of integrating the subsurface capabilities of Schlumberger with the surface pressure control and processing capabilities of Cameron. We started this in OneSubsea and we are now seeing opportunities in drilling, unconventional production and production and processing facilities. Finally, we have started over 30 new technology development programs as part of the integration and we are confident that these programs will deliver significant revenue synergies and growth opportunities when the markets do recover. Overall, the integration is progressing very well and the combination and collaboration has been positively received by the Cameron employees, the Schlumberger employees and our customers. Now, I'll turn it over to Paal.
Paal Kibsgaard - Chairman & Chief Executive Officer: Thank you, Scott, and good morning, everyone. In the second quarter, market condition worsened further in most parts of our global operations. But in spite of the continuing operational and commercial headwinds, we have now reached the bottom of the cycle. In line with the previous six quarters of this downturn, we continue to navigate the challenging environment with an unwavering focus on protecting the overall financial health of the company. This enabled us to generate a positive operating income of $747 million, excluding credits and charges; maintain operating margins north of 10%; and, more importantly, produce a positive operating cash flow of $1.6 billion. This solid financial performance came as a result of strong execution and in some cases at the expense of revenue, as we now have started to shift focus onto recovering our pricing concessions and high-grading our contract portfolio. Second quarter revenue increased 10% sequentially, boosted by the inclusion of a full quarter's activity for the Cameron Group, which amounted to $1.5 billion. However, activity for all groups decreased in the quarter as E&P budgets were further reduced. The revenue headwinds were most pronounced in North America and further exacerbated by a decision to reduce our operations in Venezuela to fall in line with cash collections, which had a significant impact on our Latin America results. In terms of pre-tax operating income, close to 75% of our sequential drop was caused by North America and Venezuela. As I review the second quarter geographical trends, I will use pro forma numbers for the sequential comparison while I focus my comments on the Characterization, Drilling and Production Groups as Scott has already covered the Cameron Group in detail. In North America, revenue declined 20% sequentially against an average drop in the U.S. land rig count to 25%, as the activity slide now have reached bottom. The doubling in the WTI oil price since the lows seen in January of this year has also led some customers to start moving drilled but uncompleted shale wells out of inventory and into production, with the associated increase in hydraulic fracturing activity. In the U.S. Gulf of Mexico, activity was weaker as additional deepwater exploration rigs were released and the move to development activity slowed. Pricing remained under massive pressure in all land and offshore markets in North America. However, signs have started to emerge of customers recognizing that pricing levels have now fallen to unsustainable levels, leading to a growing risk of destroying capabilities and capacity required in the future. Within our North America business, the Drilling Group was the hardest hit in the second quarter with Drilling & Measurements, Bits and Drilling Tools, and M-I SWACO seeing the greatest activity decline. In Reservoir Characterization, however, lower revenue for Wireline and Testing Services was partly offset by sequentially stronger WesternGeco work in both Canada and the U.S. Gulf of Mexico. In the international markets customer budget cuts, activity disruptions, seasonal variations and persisting pricing pressure impacted our results in most basins and market segments around the world. In Latin America, revenue declined 26% sequentially as activity in Venezuela fell significantly following our decision to reduce operations to fall in line with cash collections. This program is managed in close coordination with all customers in the country and operations are continuing for the Faja IOC joint ventures and for some specific PDVSA operations. Activity also decreased in Mexico and Brazil as customer budgets were curtailed further, leaving the remaining activity rig count in these two countries at very low levels. From a technology standpoint, the Drilling Group saw the largest drop in revenue with significant reductions in all product lines. In the Production Group, lower revenue from our traditional product lines was offset by robust integration-related performance with all our projects in the region progressing well. In Reservoir Characterization our multiclient seismic program in Mexico continued in advance of the upcoming deepwater license rounds. So far we have delivered more than 40,000 square kilometers of high resolution wide-azimuth seismic data, and early evaluation of the data is already leading to clearer identification on new exploration plays in the Golfo Campeche (sic) [Golfo de Campeche] Basin. Revenue in Europe, CIS and Africa declined 7% sequentially as widespread activity reductions throughout our Sub-Saharan Africa operations had a significant impact on our results. Nigeria and the Gulf of Guinea saw the largest fall, but the rig count in Angola also fell sharply together with Central/West Africa where key exploration campaign was completed. In the North Sea, rig-related activity in the UK increased while revenue was lower in Norway as seasonal shutdowns and a changing job mix impacted results. These negative factors affected all parts of our business in the area and particularly the Drilling and Production Groups. Within Reservoir Characterization, lower revenue for Wireline and Testing Services was partially offset by improving seismic revenues from WesternGeco. In Russia, revenue increased as the summer season ramped up in line with expectations and was further supported by the appreciation of the Russian ruble. Activity was strongest for Drilling & Measurements and Well Services, driven by solid drilling and hydraulic fracturing activity both on land and shallow offshore. In the Middle East and Asia, revenue declined by 2% sequentially as lower activity in Asia more than offset strong activity in the Middle East. In Asia, activity was weakest in the Malaysia and Australia GeoMarkets as projects were canceled or completed and the offshore rig count dropped further. The Drilling Group was most affected by this through lower demand for Drilling & Measurements and M-I SWACO technologies, while Reservoir Characterization was also lower on weaker wireline exploration activity. In the Middle East, strength in the GCC countries offset weakness in the Iraq, Oman and Egypt GeoMarkets. In Kuwait, increased rig count, continued progress on the early production facilities we are building for the Jurassic project, together with higher artificial lift and completions product sales drove revenue higher. While in Saudi Arabia, activity also increased driven by market share gains from the latest rig allocations as well as higher hydraulic fracturing activity. I would now like to turn to the state of our industry and also how we continue to position Schlumberger in the forefront of a challenging and evolving operating environment. We are now seven quarters into the most severe industry downturn on record, which saw oil prices tumbling to $27 this January. Since then, we have seen a slow but steady increase in oil prices as the market data continues to show a tightening of the supply and demand balance, and with the outlook clearly suggesting that these trends will further accelerate going forward. While the current level of oil prices have created unprecedented turmoil throughout our industry, the financial challenges that have now become very visible are really nothing new. For some time, there has been a growing shortfall of both profits and cash flow for many oil producers around the world, as the cost of developing increasingly complex oil resources has outgrown the value created, which could be seen even when oil prices were at $100 per barrel. The dramatic restructuring of the supply side we are currently experiencing has just accelerated and amplified the cost, quality and efficiency problems of the industry and led to a more acute cash and profitability crisis. The operators have reacted to this crisis by initiating a massive reduction in oilfield activity and by sending unsustainable pricing shock throughout the entire oil industry supply chain. In addition, there is currently also a widespread high-grading of activity taking place in the industry aimed at maximizing short-term production and cash flow. Adding up all of this, the current cost per barrel for the oil producers now appears to be significantly lower than what was the case seven quarters ago. However, this should not be confused with a permanent improvement in the underlying industry performance as there has been little to no fundamental change in technology, quality or efficiency, no major step change in industry collaboration and no general transformation of the industry business model. What has taken place over the past 21 months is, instead, a redistribution of the profit and cash flow shortfall from previously sitting mostly with the oil producers to now representing an unsustainable burden for the supplier industry even after a massive reduction of costs and capacity. So where does this lead the industry? First of all, assuming that we continue to see a steady growth in demand, we are heading towards a significant global supply deficit as the E&P spend rate now is down by more than 50%. The effect of the reduced E&P spend is already clearly visible in the 2016 non-OPEC production numbers, which are set to drop by 900,000 barrels per day versus last year, and can also be seen by the weakness in the OPEC production outside of the Gulf countries. And as the opportunities for activity high-grading are exhausted, we should see a further acceleration in the global production decline. In addition, the market is also underestimating the potential reaction from the supplier industry, which has temporarily accepted financially unviable contracts to support the operators and to keep their options open as the downturn has deepened and extended into uncharted territory. This is seen by the service industry profit levels and also from their ballooning receivables balances caused by operators who are unable or unwilling to provide timely payments. It also means that, inevitably, service industry pricing has to recover and as it does, this will consume a large part of the E&P investment increases intended for additional activity which will further amplify the pending oil supply deficit. So how are we navigating this challenging industry environment? To start with, we believe that the chronic shortfall in profits and cash flow throughout the oil industry value chain can only be permanently addressed by a dramatic step change in industry performance. This has to begin with the transformation of the intrinsic quality and efficiency of each industry player but it also requires the design of much broader technology systems, including both innovative hardware as well as high-level software control systems. In addition, we believe that the future industry winners will be the companies that can more effectively integrate the entire industry value chain through an open and collaborative business model with much better commercial alignment between the key contributing parties. After seven quarters of managing our business in an increasingly complex industry environment where we have made a series of strategic and tactical moves, we are well advanced in shaping and positioning our company for future success as can be seen by the following facts. First, our balance sheet remains strong with more than $11 billion in cash and short-term investments. And we are also one of the few companies in the industry that still generates a positive free cash flow after actively reinvesting in our business and steadily returning cash to our shareholders in form of dividends and stock buybacks. Second, we have an unprecedented global technology offering that we have significantly expanded in past 21 months through the purchase of a number of smaller technology companies as well as the major acquisition of Cameron. Third, the addition of the Cameron Group to our technology portfolio will enable the development of major integrated technology systems including our land drilling system and future hydraulic fracturing system and a new surface production system that combines processing, measurements and control. Fourth, we have established a range of tiered integration business models that enable us to evolve our customer engagements as well as the type of contracts we take on. And last, the benefits we are seeing from our transformation program are creating a significant and long-term competitive advantage to a steady improvement in our internal intrinsic performance. In Schlumberger, we continue to have a stated goal of serving all customers in all basins and countries around the world, provided it is permissible by local and international law, that it's safe for our people and assets, and that it is financially viable. And as oil prices have doubled since the lows in January, we have now shifted our focus from decremental margins and increasing our tender win rates over to our contract portfolio, where we are looking to recover the temporary pricing concessions we have made or renegotiate those contracts which, at present, show no promise of becoming financially viable. As we now enter a new phase of the cycle, oilfield activity has to increase in most countries around the world for the industry to meet the growing supply deficit. The sustainability of this activity recovery will be defined by the financial viability of the entire oil industry value chain, which will vary significantly from country to country. And in places where the total value chain remains in a chronic financial shortfall, the increase in activity will not be sustainable. A key question in this respect is the sustainability of a North American land recovery where the cumulative industry earnings and free cash flow was negative over the last cycle. And given the resulting financial state of the value chain in this commoditized market, a large wave of cost inflation from every part of the supplier industry is now building, which the E&P companies will have to absorb in parallel with implementing their activity growth plans. As we now enter the next phase of the cycle, the breadth and depth of our technology offering, together with our geographical scale and our knowledge of the financial viability of the industry value chain in each operating country will clearly set us apart and further enable us to deliver differentiated financial results going forward. In preparation for the next phase, we have already reenergized our management team and formulated detailed plans for how we will navigate this new environment. And as part of this, we have set ourselves a companywide goal on delivering incremental margins higher than 65% on the forthcoming activity growth. The combination of the tactical and strategic moves we have made and are continuing to make has enabled us to navigate the challenging industry environment better than most, and above all, will ensure that Schlumberger continues to remain at the absolute forefront of an industry that is set to undergo significant change in the coming years. That concludes my remarks. We will now open up for questions.
Operator: Okay. And one moment, please, for your first question. Your first question comes from the line of Jim Wicklund from Credit Suisse. Please go ahead.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Good morning, guys. Paal, after...
Paal Kibsgaard - Chairman & Chief Executive Officer: Good morning, James.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): ...after that discussion on the future of the global industry, which was nothing short of very impressive, I feel bad asking such pedestrian questions as I have but I'll give it a shot. You talk about pricing and sustainability and the unsustainable pricing that we have, investor focus today seems definitely to be on North America because the expectation it's going to recover first. And in North America, the biggest concern still seems to be on pressure pumping. And historically, you guys would improve your margins by increasing utilization of equipment, and that would be the first big run in improving your margins and then pricing would follow at some point in the future as utilization got higher. You talk about how things are different this time. Can you talk about your outlook for what happens in the U.S. pressure pumping market, how fast pricing comes back, how you will be able to get pricing and what will cause that pricing improvement ahead of some of your peers? I guess that's more of a technology versus commodity discussion. But can you walk us through, just on a regional basis, if you would, your outlook on how pressure pumping utilization and pricing evolve over the next year or two?
Paal Kibsgaard - Chairman & Chief Executive Officer: Well, that's quite a broad question, Jim, but I would say that we are clear that we have reached the bottom of activity in North America land, and that activity will increase not in a V shape dramatic fashion but I think there will be a steady increase in rig counts and associated frac activity, both from the rigs as from wells coming out of the DUC inventory. Now again, I think the activity will be more slow and steady. And obviously, with higher utilization, there is some contribution to margins. But margins are deeply negative and I would say at this stage, more activity at the current margin level is just going to be dilutive to earnings. So I think most companies now will be looking for price increases and, in fact, significant price increases actually to bring profitability back to breakeven and into positive territory before that activity is particularly attractive in terms of driving earnings back to previous year's levels. So how do we get the pricing? I think, obviously, technology, efficiency, managing supply chain is going to be important, but I think overall, the entire value chain in North America is highly stressed. As I indicated, in the previous cycle, it's cumulatively negative both on profits and free cash flow so I don't think there is an open-ended dramatic improvement at hand without doing anything. I think technology has to play a very important role in this. We've said in many foras that if you look at the cost per well, I think we are in late innings, but in terms of production per well, we are in very early innings. And if you want to drive down cost per barrel, we have to look at ways of getting more production out of each well. But – although utilization will help but given the pain that the entire industry value chain is in, there's going to be a mounting wave of cost inflation from every supplier in that chain, which I think is going to put significant pressure on how quickly activity can recover.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): That's very helpful. And my follow-up if I could, you mentioned Canada and the Gulf of Mexico and offshore Mexico in terms of WesternGeco, exploration has been in the ditch for the last two and a half years and from the sound of it, WesternGeco appeared to have a very good quarter. Should we see this as the beginning of some level of recovery in seismic and in exploration overall?
Paal Kibsgaard - Chairman & Chief Executive Officer: Well, I would love to say yes to that but I think it's unfortunately premature. I would complement WesternGeco on actually doing a very good job in gaining market share and getting projects which are financially viable, driven again by technology and how well they execute. They've also been good at positioning ourselves in terms of multiclient activity where we continue to get good pre-funding. But I would say there is no immediate, I would say, dramatic comeback in exploration or in seismic in particular, but within the context of a very depressed market, WesternGeco is actually performing quite well
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Okay. Paal, thank you. Impressive presentation. Thank you.
Paal Kibsgaard - Chairman & Chief Executive Officer: Thank you, Jim.
Operator: Your next question comes from the line of David Anderson from Barclays. Please go ahead.
J. David Anderson - Barclays Capital, Inc.: Yes, thanks. Good morning. So Paal, during the downturn one of the concerns is that if you lose pricing internationally, you never get it back. But clearly, you're quite confident recouping much of the pricing concessions. I guess once again – sorry asking a dumb question – but what makes the difference this time. Is it the repricing triggers you have in your contracts? Is it the competitive dynamics have clearly shifted here or is it the oil prices giving you the confidence to recoup those pricings?
Paal Kibsgaard - Chairman & Chief Executive Officer: If you compare it to the previous downturn in 2009, at that stage, the industry came off a massive price increase period of four years, five years. And at that stage, pricing came down and it basically has not come back since then. So we are in a very different situation industrywide at this stage where the service industry hasn't had a price increase in the period in between now and 2009, so there isn't that much to give. Profitability for the more profitable companies have come through internal transformations and through significant investments in technology, like in our case. So we have not gained any pricing so we have very little pricing to give up. Now in a dramatic downturn as we have been experiencing over the past seven quarters, there is a need to align with the customer base, which obviously has immediate oil price exposure, and we have done that, and the vast majority of the pricing concessions we have made to existing and valid contracts are temporary in nature, they're either time bound or they are linked to some kind of oil price trigger. And that's why we have aligned with our customers on the down of the cycle and we now expect that, that would be returned to us as oil prices start to increase. So it is quite a different situation today than the previous downturn that we were facing in 2009 and 2010.
J. David Anderson - Barclays Capital, Inc.: And I guess – perhaps you could just expand a little bit on the increased activity you were talking about in the Middle East, particularly in the GCC. You've been talking about Kuwait's getting a little better, you talked about some increases in Saudi. Is there any talk over there about perhaps expansion projects or maybe a renewed focus on improving recovery rates that have a greater technology component for you? Any shift along those lines?
Paal Kibsgaard - Chairman & Chief Executive Officer: I think there is a constant discussion within all of these large producers in the core part of OPEC or in the GCC around how they maintain or even increase production, right. So it varies by country and we leave it up to the country to, I would say, formalize and state those plans. But I would say Saudi has an active program to maintain their maximum sustainable production level which is widely known, while there are also very active programs in both the UAE and Kuwait to increase production. This includes both drilling of wells, seismic activity, as well as fracking and even surface facilities. So we are very actively involved in all aspects of this, our technology is very central to all of these projects and we are extremely well placed to continue to take our share of the growth in activity in this part of the world.
J. David Anderson - Barclays Capital, Inc.: Thank you.
Paal Kibsgaard - Chairman & Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Ole Slorer from Morgan Stanley. Please go ahead.
Ole H. Slorer - Morgan Stanley & Co. LLC: Yeah. Thanks a lot. I wonder whether you could talk a bit about the opportunity for Schlumberger to drive better pricing and margins through integration and technology. Is this an opportunity that's best presented in North America or is it in certain international markets? Can you talk a little bit more specific about when and where exactly we should expect you to sign for this first?
Paal Kibsgaard - Chairman & Chief Executive Officer: Well, as you know, Ole, we have a broad range of integration capabilities, which ranges all the way from project coordination to integrated drilling, integrated production and all the way up to SPM. And I think those four models are applicable in pretty much every country and basin around the world, depending on the state of the customer, the interest of the customer and what kind of resources they're developing, right. But we see a general, I would say, adaptation of all aspects of integration taking place all around the world. The least impact of integration so far, if I just look at the high level, has been in North America where it's still rather fragmented in between the rig and the various parts of the drilling process as well as in the production and completion part of the work. So we are continuing to drive forward our offering around creating a total drilling system and a total completion system, including fracking, for the land markets. And I'm quite optimistic that these should have significant uptake even in places like U.S. land or some of the other unconventional basins around the world, but the general adaptation of more integration we are seeing, and we continue to invest into that both from a hardware and software process control standpoint.
Ole H. Slorer - Morgan Stanley & Co. LLC: Yeah. And then when it comes to the when and where, you addressed the where but the when part, is there something we should start to see already now in the third quarter, some evidence that – some of the initiatives you're rolling out actually translates to higher margins if it does look at what you're doing internally and isolate away the broader cycle?
Paal Kibsgaard - Chairman & Chief Executive Officer: Well, in terms of margins, I think – we are looking to get margins in the base business as well right, because that's where we have made the largest pricing concessions and that's where we also want to get back some of the temporary concessions we've made. But I think all the integration-related business offerings we have is executed well and well aligned with the customer, brings value in terms of higher profitability to us but also lower cost per barrel for our customers, right. So in terms of timing of it, Ole, it's difficult to say that you're going to see some kind of major impact in one particular quarter. I think the level of integration-related activity has held up well, I would say, during this downturn. It is down in percentage terms, which you would expect, but it has held up well as well as our new technology sales has held up well also during the cycle. So I think we're very well positioned. And as activity starts to increase and resources, both on the customer side as well as on the service industry side, becomes shorter, then I think the multi-skilling and presenting one package with simpler interfaces is going to be quite appealing to the customer base.
Ole H. Slorer - Morgan Stanley & Co. LLC: Makes sense. My follow-up with you, Scott. If you could give us a little bit more detail on the Greater Enfield, where it seems to be quite a few firsts there in terms of integration of reservoir management and flow assurance to the hardware side. And if you could talk just a little bit through what exactly is it that's new in terms of what you achieved with this contract.
Robert Scott Rowe - President - Cameron Group, Schlumberger Limited: Yeah, good.
Ole H. Slorer - Morgan Stanley & Co. LLC: What does it entail?
Robert Scott Rowe - President - Cameron Group, Schlumberger Limited: Yeah, absolutely, Ole. Look, this is a flagship win for the OneSubsea team and, as you know, we've been working with Woodside for a long time to first win their frame agreement then indeed to move this project forward. But as Paal just discussed, right, this is a big technology play and it allows us to preserve some pricing because we can uniquely differentiate ourselves from anybody else. But what we've done here is essentially provide relatively standard horizontal trees combined with the boosting system and then the real technology is with the Unified Controls System that will span both the boosting system and the subsea architecture as well as the completion with the landing string. And so now, we've got a Unified Controls System that controls all aspects that sit on the seafloor, and you could imagine the cost savings for the customer when you bring all of that together. So, again, we've worked real hard with Woodside. We're very excited to move this project forward with them and we think it's a great example of the true capabilities of OneSubsea.
Ole H. Slorer - Morgan Stanley & Co. LLC: Okay. Thank you very much.
Paal Kibsgaard - Chairman & Chief Executive Officer: Thank you, Ole.
Operator: Your next question comes from the line of Angie Sedita from UBS. Please go ahead.
Angie M. Sedita - UBS Securities LLC: Thanks. Good morning. Good afternoon, gentlemen.
Robert Scott Rowe - President - Cameron Group, Schlumberger Limited: Good morning.
Paal Kibsgaard - Chairman & Chief Executive Officer: Good morning.
Angie M. Sedita - UBS Securities LLC: So maybe as a quick follow-up on the Cameron question for Scott. Very impressive margins in the quarter. Can you give us your thoughts about margins moving forward into the back half of the year and maybe even 2017, and also discuss what your order outlook is out there, what you're hearing and seeing as far as opportunities for OneSubsea.
Robert Scott Rowe - President - Cameron Group, Schlumberger Limited: Sure. It's a broad question but we can provide some general guidance here. Look. The 15.8% that we were able to achieve in the quarter was exceptional. And as you know, it's one of the highest quarters we've ever had. The forward look is a little bit complicated because what's happening is we've got really strong execution in both Drilling, OneSubsea and Process systems, and those are our bigger backlog and longer-cycle businesses, and those are going to start to come down. And now, you've got a lot of pricing pressure that we've seen in 2015 start to come into the mix. And so we think 15.8% is a very high level, that will start to taper down here in the quarters to come. And then where we really start to see some uplift and it's a matter of timing here, but as Paal described, right, we do believe we're going to get pricing in the shorter-cycle businesses, so both Surface and Valves & Measurement. And then in addition to that, you start to layer in the synergies from the integration itself. And so I don't expect us to exceed the 15.8% here in the short term. I think that comes down steadily over time. But then as we get pricing traction and those short-cycle businesses begin to pick up, we could indeed see those margins come back up into a higher territory. And in terms of booking outlook, I'll start with deepwater. And what I'll say is it is in a very bad state in terms of progressing and moving projects forward. And we're very fortunate to work with Woodside and get one past FID, but we don't see any major projects here for the remainder of the year. In fact, our estimates for trees this year are less than 100. There are a few projects out there next year that are relatively large in size. We feel good about our ability to work with operators and achieve those, but at the same time, the industry has got significant capacity, and those are going to be incredibly competitive. And so I'm a little concerned about the outlook with deepwater. Now, however, the counter to that is we have a very strong belief in what we're doing with OneSubsea. And like I described in the opening comments, right, the ability to tie the reservoir to what we're doing, drive cost out of the system through our standardized approach and then get more out of production, we feel very good about that. On the other businesses, Surface and V&M are tied to rig count and they have a significant North American exposure and, as Paal described, we think those markets start to increase here going forward. And so that's going to be the big kind of flux position for us, if you will, if those start to come back faster, then our outlook starts to look pretty good.
Angie M. Sedita - UBS Securities LLC: Okay. Okay. Very, very helpful Scott. And then one more for Paal is, when we think of Schlumberger in the past and we think about revenue growth, we used to think through it on a GeoMarket basis and you guys have done a very good job in recent presentations giving the incremental margin opportunities across your product lines. So when you think about now your product segments and the rank order of revenue growth coming out of the trough, is it fair to think that Production and Drilling has the largest revenue opportunities out of the bottom followed by Cameron and Characterization? And any thoughts on magnitude of difference would be helpful.
Paal Kibsgaard - Chairman & Chief Executive Officer: So I think that's a reasonable assumption, Angie. We believe that the activity increase that we are going to see in the coming quarters is going to be very closely associated with production. And that's either linked to that drilling or the completion part of production. So our Drilling Group and our Production Group, I think, are the ones that will see the quickest impact of higher E&P investments. Now with that said, at some stage, the industry will need to start exploring again, and the level of exploration-related activity is at an unprecedented low. So obviously a huge growth runway for our Characterization Group going forward when that starts to kick in, but I think you're right in assuming that that will be after the initial uptick in well-related development type of activity. And I think Scott has described very well the impact on Cameron, the long-cycle businesses, I think, will follow after the short cycle ones. So I think that's a good set of assumptions.
Angie M. Sedita - UBS Securities LLC: Great. Fair enough. Thanks. I'll turn it over.
Paal Kibsgaard - Chairman & Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Kurt Hallead from RBC. Please go ahead.
Kurt Hallead - RBC Capital Markets LLC: Hey. Good afternoon where you are.
Paal Kibsgaard - Chairman & Chief Executive Officer: Good afternoon.
Kurt Hallead - RBC Capital Markets LLC: So Paal, I wanted to follow up here on comments on incremental margin goal of 65%. And I was hoping that you could provide a little additional color around that target vis-à-vis the U.S. market and the international market, and then I have additional follow-up after that.
Paal Kibsgaard - Chairman & Chief Executive Officer: All right. So first of all, I didn't say 65% I said north of 65%.
Kurt Hallead - RBC Capital Markets LLC: I got it.
Paal Kibsgaard - Chairman & Chief Executive Officer: I'm not ready to sort of break it down for you in any more geographical granularity other than it is a high level goal, it's an ambitious goal, but there is a logic behind it. I think first of all, our decrementals for 2015 and so far in 2016 is in the range of 30% to 32%. And if you can double the incremental from that decremental rate, that means that you should be able to restore 2014 earnings, which is the place we want to be as quickly as possible to continue to deliver on the plan we laid out in the 2014 investor conference, we can actually recover 2014 earnings by only a 50% recovery in the revenue drops that we've seen since 2014. Now there is a lot of work behind the number in terms of how achievable it is. But as an example, in 2014 in the international market, on a pretty low revenue growth rate of 3%, 4%, we actually delivered 69% incrementals without any price in the international markets. So we have a precedence for doing it, it's obviously going to be challenging to do that also in North America, in particular North America land, but with the impact, we will have to have from price on this, we are for sure going to try to deliver incrementals north of 65%, yes.
Kurt Hallead - RBC Capital Markets LLC: Okay. Thanks. And then the follow up on that is regards to timing. So is the target of north of 65% incrementals by the end of 2016, is it for full year 2017? Can you just give us some general, might be hard to give the specifics, but some general views on when you're pushing to get that done?
Paal Kibsgaard - Chairman & Chief Executive Officer: Yeah. I think I would look at it in the following way. I would say that activity growth associated with some pricing recovery should – we are aiming to deliver north of 65% on that. So I think as we now navigate the bottom and we aren't expecting a uniform V shaped recovery here. Like I said, it's going to be in slow and steady recovery. Some of countries that we operate in will stay flat longer. Some of them might go down a little bit further. But overall, we believe we are at bottom and when we see consistent growth in any geography, this is the incremental that we are looking for. And as the entire company gets back into a more solid growth mode, that's when we should approach the companywide 65%. But we are targeting 65% incrementals on the growth that we are seeing going forward.
Kurt Hallead - RBC Capital Markets LLC: That's great color. Thanks, Paal.
Paal Kibsgaard - Chairman & Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Bill Herbert from Simmons. Please go ahead.
William A. Herbert - Simmons & Company International: Thanks. Paal, if we could just talk a little bit about the near term, if you will. You waxed optimistic here with regard to the industry bottoming and focusing more on market share strengthening versus, I guess, protecting decrementals and pricing recapture and high-grading of contracts. And yet, we just had a significant pre-tax charge, your rightsizing continues to be pretty assertive, and we've laid off 16,000 people in the first half. So I'm trying to reconcile those two, the challenges you see in the near term. And specifically, can we talk about Q3 in terms of what the sequential headwinds and tailwinds are and whether you think earnings per share, flat, up or down quarter-on-quarter?
Paal Kibsgaard - Chairman & Chief Executive Officer: Okay. So in terms of the charge that we've taken, this is basically catching up and finalizing the resizing of the company, which has now been dropping in activity levels over the past seven quarters. So this charge is linked to a number of things that we have been executing in the second quarter. And should bring the company into the shape where we are well positioned to navigate the bottom of the market and also well positioned to start growing again going forward. So we put a lot of details and scrutiny into any kind of impairment charge that we take and we have done so as well in the charge for Q2, which is sizable, but we believe this is prudent, this is right and it's justified to do what we've done and that's why we did it. Now in terms of the outlook, like I said, we are at the bottom but we are not expecting an immediate and sharp recovery. If you look at North America versus international and some of the moving parts going into Q3, North America still has significant overcapacity at this stage in terms of services. And the low barrier to entry is also going to continue to be a major headwind, right. So we expect modest increase in land activity but this is going to be partially offset by lower offshore work. We are significantly down in Alaska, in Eastern Canada, as well as in the Gulf of Mexico. We expect some improvement in pricing but it's going to be way short of the level required to breakeven into Q3. So we don't expect any major positive earnings improvement from North America in Q3 but it shouldn't get much worse either, right. So fairly, fairly stable earnings for North America in the third quarter. And fairly similar international markets, there's less overcapacity there due to the higher barrier entry and it's also quite a narrowing competitive landscape. So in principle, it should be easier to recover some of the temporary pricing concessions that we have made which, in most cases, in international market is also time bound or linked to the oil price. But given the limited increase in activity we see for Q3, again, we don't expect any significant positive sequential earnings contribution from international. So overall, we expect flattish EPS in Q3.
William A. Herbert - Simmons & Company International: Okay. That's helpful. And then secondly, I'm just curious with regard to the discussion that you're having with resource holders and especially domestic resource holders, just given the evisceration and impairment of the oil service value chain on the one hand, and the desire on the part of resource holders to preserve the efficiencies that they've won and earned over the course of this downturn, is there a recognition on their part that there are probably less than a handful of companies who possess both the operational and financial flexibility to in fact preserve those efficiencies for them?
Paal Kibsgaard - Chairman & Chief Executive Officer: Well, if you talk about efficiencies, are you talking about their current cost per barrel? Because that is to a large extent driven by very low service pricing, right. So I think there's no company in North America that is able to continue for a long period of time to operate at these pricing levels. But if you talk about the technical performance of how efficient we drill and how efficient we frac...
William A. Herbert - Simmons & Company International: Yeah.
Paal Kibsgaard - Chairman & Chief Executive Officer: ...I agree with you. There's a handful of companies that can do that and I think that number is shrinking. And unless there is some pricing recovery and some ways to create more financially viable contracts for even these limited number of companies, that number is going to shrink further, yes.
William A. Herbert - Simmons & Company International: All right. Thank you, sir.
Paal Kibsgaard - Chairman & Chief Executive Officer: Thank you.
Simon Farrant - Vice President-Investor Relations: Okay. So we see that there are a number of questions still remaining and we're going to extend the call another 5 minutes to 10 minutes. So operator, please can you give us the next question?
Operator: Your next question comes from the line of James West from Evercore ISI. Please go ahead.
James C. West - Evercore ISI: Hey, good morning, guys.
Paal Kibsgaard - Chairman & Chief Executive Officer: Good morning.
James C. West - Evercore ISI: Paal, clearly the strategy of the company has changed. You're switching to offense from playing defense with decrementals. This was obviously not a new strategy or you wouldn't be telling us about it today, it's not happening today. So I'm curious with this shift, when did you start, what's guidance you've given to your management team, and what has the customer response been so far to this trend of we're going to regain pricing and we will not work at these kind of pricing levels going forward?
Paal Kibsgaard - Chairman & Chief Executive Officer: So we've started this dialogue and this engagement, first of all, internally with our senior management team during the second quarter. This is not a – it's not a surprising playbook. At some stage when you do approach bottom, this is the shift that you need to make.
James C. West - Evercore ISI: Right.
Paal Kibsgaard - Chairman & Chief Executive Officer: But we have, I would say, done this in a concerted fashion during the second quarter. We have had very good discussions with the senior management team and laid our plans for how are we going to now shift the focus and how we navigate the next phase. And as I said earlier on, the understanding of the viability and state of the industry value chain in each of the 80 countries we operate in is extremely important to make sure that you are optimally positioned to capture the market in the countries which we believe are going to see a sustainable increase in activity, where we can also generate sustainable earnings going forward, right. So we spend a lot of time internally with the team to lay out these plans and put this methodology in place, so we are in good shape there. We're already in execution mode of it. And in terms of the engagement with the customers, it's started. It's still at a fairly, I would say, low frequency but that is now what we will do much more widespread as we enter the third quarter here. But obviously, a lot of these discussions are going to be challenging. There's not a lot of surplus in any situation but we believe that the temporary concessions we have made, at least part of that will need to be returned to us. But in return for that, we are very open to engage in different types of collaborations where we through a better management of the interface and better commercial alignment and together drive unnecessary costs out of the system, so that we can make a more or the industry value chain viable in many countries around the world. So that's certainly the objective.
James C. West - Evercore ISI: And that would mean increasing your scope or adding performance-based metrics to the contracts?
Paal Kibsgaard - Chairman & Chief Executive Officer: Absolutely. Both of those are aspects that we believe will generate total value that then can be shared between the supplier and the E&P companies, and also back to what we talked about earlier in the call, all around the integration offering that we have and that we continue to invest into.
James C. West - Evercore ISI: Right. Okay. And then a follow-up from me on the market share. You commented in your press release about market share gains or tender wins in recent quarters. How much of this is due to, perhaps, technology or how much of this is due to just the fact that there's really only you and one other – globally now – that participate in the market and you've seen a lot of your competitors just drop out?
Paal Kibsgaard - Chairman & Chief Executive Officer: Well, I think the narrowing competitive environment has some impact on this. And also I think if you look at margin performance over the past 18 months in the international market in between several of the large players, some of these players are already in the red, in which case their room to take on contracts which they might feel is challenging is very, very limited. So the position we have in terms of strength, both in footprint, scale, local knowledge as well as the overall contract portfolio we have, allows us to be quite competitive in these tenders. And I think very importantly as well is to look at the difference between the contract portfolio and maybe the immediate revenue translation of these contracts. In the international market, it's very important to have the contracts, and we have a range of contracts today that we have won with very little activity in them, but they have potential for significant increases in activity in terms of rig additions and so forth going forward. So what is very important over the past year, which we have had a lot of focus on, has been the tender win rate and then having the contracts and then being able to translate that into revenue in the coming one to two years.
James C. West - Evercore ISI: Thanks, Paal.
Paal Kibsgaard - Chairman & Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Michael LaMotte from Guggenheim. Please go ahead.
Michael LaMotte - Guggenheim Securities LLC: Thanks. Paal, if I could follow up on your comment that the industry needs to improve efficiencies through I think you said innovative hardware and high-level software control systems. In the press release, there's an anecdote noting a pretty big drop in pump and blender NPT and R&M expense through the use of RCM technology and predictive analytics. I was wondering how scalable these types of applications are and whether or not the deployment depends on the introduction of the next generation frac spread or can it be rolled out on the legacy fleet?
Paal Kibsgaard - Chairman & Chief Executive Officer: So for that particular application, it is being rolled out on the legacy fleet. These are measurements that we are currently recording and we have been for quite a while. And this is one example of what we can do by being able to first organize our data in a way where it's accessible and then building the right analytic applications on top of it and then providing that to our fleet operations. So over the past 18 months or so, we have undertaken a massive reorganization of the entire database we have and the data we record on a daily basis from our operations into a cutting-edge data lake, which is then accessible for these type of applications. And we've also established a new applications group which then has the ability to build these analytics and tap into the data lake and provide this type of information for our operations. So the example you refer to in pressure pumping is one, we have a multitude of similar type of applications being built and which are going to be deployed in the near future with a similar type of impact on the operation, and this is all part of the transformation program that we've been talking about for several years.
Robert Scott Rowe - President - Cameron Group, Schlumberger Limited: If I could just add, this is a big part of the Cameron integration as well, right. So in Cameron, we really didn't progress the ability to collect data on our equipment and what we're doing is tapping in to the expertise here at Schlumberger. And in fact, more than half of our 30 integrated technology programs are around the theme of controls and predictive maintenance and reliability.
Michael LaMotte - Guggenheim Securities LLC: And just so I understand the quantitative impact, this $30 million reference of three-year cost savings, that was just with respect to that one test fleet?
Paal Kibsgaard - Chairman & Chief Executive Officer: Correct.
Michael LaMotte - Guggenheim Securities LLC: Okay. Great. And if I could ask a follow-up quickly for Simon, in terms of the working capital management during the downturn, it's obviously been remarkable here. So, first of all, kudos. But my question really is how the transformation initiatives will work in recovery when working capital actually becomes a use of cash?
Simon Ayat - Chief Financial Officer & Executive Vice President: So, Michael, as you mentioned, we performed well in second quarter despite some exceptional payments. And the transformation program is helping us quite a bit, it's on the CapEx side on some of the cost elements, collection of receivables. I mean the transformation program is across the board on most of our activity and processes. So it is going to – we're looking forward to not to consume as much cash in the upturn because first, we do have excess equipment, and we don't think the CapEx is going to turn around in a major way. And, yes, the transformation program will continue to contribute as it contributed in the downturn.
Paal Kibsgaard - Chairman & Chief Executive Officer: So, Michael, just one clarification. So you asked me about the savings. So the savings we quoted was for all the test fleets we had in South Texas. It was not just one fleet.
Michael LaMotte - Guggenheim Securities LLC: Not just one. Okay. Very good. Thank you.
Paal Kibsgaard - Chairman & Chief Executive Officer: Thank you.
Simon Ayat - Chief Financial Officer & Executive Vice President: Sorry, did I get the concern you have or the answer that you're looking for?
Michael LaMotte - Guggenheim Securities LLC: Yes, you did, Simon. I was really sort of thinking about inventory and I guess the excess equipment has a big impact on that, so thank you.
Simon Ayat - Chief Financial Officer & Executive Vice President: Inventory is a big part of it as well, yes. That's what I meant by managing the material and supplies as well.
Michael LaMotte - Guggenheim Securities LLC: Yeah. Excellent. Thank you, guys.
Paal Kibsgaard - Chairman & Chief Executive Officer: Thank you.
Operator: And your final question today comes from the line of Dan Boyd with BMO Capital Markets. Please go ahead.
Daniel J. Boyd - BMO Capital Markets (United States): Hey. Thanks for squeezing me on. So, Paal, you've been very clear that international is going to be the driver of earnings getting back to the 2015 or 2014 level, but some of your comments on North America have been a little bit more mixed, so just trying to understand what you're saying there about how the transformation program will pay dividends in the future. But are you also implying there that you can get back to peak margins in North America on a significantly lower rig count than what we saw previously?
Paal Kibsgaard - Chairman & Chief Executive Officer: No, so just to clarify, so I'm saying that obviously our international business and the state of that and the state of the international industry value chain is in much better shape than what the North American value chain is, in which case the basis for sustainable earnings growth at this stage is much higher and better internationally. Now in North America, I think you've got to separate the industry view from just how Schlumberger navigates in the system, and I think the industry, I think there are some questions and challenges to be asked, right. How is the industry in the next upcoming cycle going to be able to operate where the entire value chain ends up being cash flow and profit-positive as we enter into a complete new cycle? That was not the case in the previous cycle, and I don't think we can go on for many cycles in a similar type of fashion. Now there is a part of North America land which is viable, even at lower prices, but how big that is and how much you can step up from the core acreage, I think, is to be seen. Now how we operate in that, we are aiming to be very competitive on efficiency and, in addition to that, continue to bring new technology into play which can help our customers and drive up production per well. And we have a very good offering already in place for that. So we will continue to operate the way we have been with a focus in both these dimensions. But I think at this stage, if you look at the state of the industry value chain, I can't tell you that we are going to get back to previous peak margins in North America or North America land because at this stage, I just don't see how that can be funded in the entire value chain.
Daniel J. Boyd - BMO Capital Markets (United States): Okay. Thanks, and then one last one for Simon. Lots of free cash flow generation, but buybacks pretty much slowed to a trickle this quarter. So what happened there and what's the plan going forward?
Simon Ayat - Chief Financial Officer & Executive Vice President: Good question. So, look. We always said that we'll be opportunistic on our buyback, and we use excess cash or remaining cash, normally, after the business needs, to return it through buybacks. The $11.6 billion that we have in cash obviously do reflect excess cash. But excess cash should not be looked at on a one given period, we have to project several quarters in advance. And during the quarter, there were major cash movements in relation to the Cameron acquisition. The cash we paid to the shareholders, we bought back some of the debt of Cameron. So we took a decision to slow down the buyback, sit back, reassess our need of cash, given all the opportunities we have in front of us, and we will go back into the market. We're always in the market. Our policy will continue to be in the market, but it is not going to be evenly spread going forward.
Daniel J. Boyd - BMO Capital Markets (United States): All right. Thanks a lot.
Simon Ayat - Chief Financial Officer & Executive Vice President: And it is an exceptional period during the quarter due to the acquisition and basically a reassessment of how we're going to use the cash, but buyback will always be a part of our plan.
Paal Kibsgaard - Chairman & Chief Executive Officer: All right. Thank you. So before we close this morning, I would like to summarize the four most important points that we discussed. First, we believe that we've reached the bottom of the cycle and that E&P investments now have to increase in order for the industry to meet the growing supply deficit. As E&P investment starts growing, a large part will initially have to be consumed on supplier industry price increases in order for capacity and capabilities to be available and for operating standards to be met. Second, most basins around the world are today at unprecedented low levels of activity and we expect to see a broad-based increase in investments going forward funded by higher oil prices. The magnitude and sustainability of the investment increase will, however, be a function of the financial viability of the entire oil industry value chain in each basin and country which will vary significantly. Third, our deep local knowledge, the breadth and depth of our technology offering together with our geographical scale will clearly set us apart and further enable us to deliver differentiated financial results going forward. And fourth, the shortfall in profits and cash flow throughout the entire industry value chain can only be permanently addressed by a dramatic step change in industry performance, including intrinsic quality and efficiency, technology system innovations, and more aligned and collaborative business models, and Schlumberger is and will remain at the absolute forefront of this industry transformation. That concludes today's call. Thank you for participating.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using AT&T Executive TeleConference. You may now disconnect.